Operator: Good day and welcome to Symantec's second quarter 2010 earnings conference call. Today's call is being recorded. At this time, I would like to turn the call over to Helyn Corcos, Vice President of Investor Relations. Please go ahead.
Helyn Corcos: Good afternoon and thank you for joining our call to discuss fiscal second quarter 2010 financial results. With me today are Enrique Salem, Symantec's President and CEO, and James Beer, Symantec's Executive Vice President and CFO. In a moment I will turn the call over to Enrique. He will discuss what is happening in the market and how Symantec executed during the quarter. Then James will provide highlights of our financial results as well as discuss our guidance assumptions as outlined in the press release. This will be followed by a question-and-answer session. Today's call is being recorded and will be available for replay on Symantec's Investor Relations website at Symantec.com/invest. A copy of today's press release and supplemental financial information are available on our website, and a copy of today's prepared remarks will be available on the Investor Relations website shortly after the call is completed. Some of the information discussed on this call, including our projections regarding revenue, operating results, deferred revenue, cash flow from operations, amortization of acquisition-related intangibles, share-based compensation, as well as products, features and delivery dates contain forward-looking statements, are preliminary and are subject to change. These statements involve risks and uncertainties that may cause actual results to differ materially from those set forth in the statements. Additional information concerning these risks and uncertainties can be found in the company's most recent periodic reports filed with the U.S. Securities and Exchange Commission. Symantec assumes no obligation to update any forward-looking statements. In addition to reporting financial results in accordance with generally accepted accounting principals or GAAP, Symantec reports non-GAAP financial results. Investors are encouraged to review the reconciliation of these non-GAAP financial measures to the most directly comparable GAAP results, which can be found in the press release and on our website. And now I would like to introduce you to our CEO, Enrique Salem.
Enrique Salem: Thank you, Helyn, and good afternoon, everyone. I'm pleased with our second quarter results. We are encouraged by the signs we see of stabilization in the markets we serve. This gives us confidence that we will continue to see gradual improvement in our business over the next few quarters. Challenges remain, however, for some customers in the SMB segment and in certain regions around the world. A focus on a clear set of priorities helped us deliver solid results in Q2. Of these, the first of these priorities is to strengthen our leadership in security, the second is to capitalize on the migration to next generation data protection, and the third is to help our customers commoditize infrastructure. The fourth is to deliver SaaS-based solutions to our customers. Our commitment to consistent execution underpins these priorities. We started to see initial signs of progress in SMB security as we renewed our relationships with channel partners given the launch of our new security products. We also saw strength in the consumer segment as our business continues to benefit from our market-leading products. One of the metrics that we use to track customer and partner loyalty is the Net Promoter Score. We've seen improving Net Promoter Scores across our business segments and geographies, and we believe that this is a positive leading indicator for our business going forward. This quarter our enterprise security business customers noted that we’ve simplified the installation and improved product performance. Additionally, our partners highlighted improvements in ease of doing business with Symantec. We continue to use the Net Promoter Score feedback to deliver differentiated and improved experiences for our customers and partners. Now, let’s take a closer look at the highlights from the quarter: The strength of our Consumer business was driven by strong Norton 360 sales and by our relationships with eight of the top nine OEMs. In mid-September, we launched our Norton Internet Security and Norton AntiVirus 2010 products, further distancing ourselves from the competition. These products leverage our new reputation-based security technology, code named Quorum, to deliver unmatched detection of new malware. The 2010 Norton security products have already received top reviews from respected independent testing bodies including AV-Comparatives.org, AV-Test.org, and Dennis Technology Labs. The Dennis report showed that Norton Internet Security 2010 was the only product tested that achieved a perfect 100% detection rate against increasingly prevalent zero-day threats due to our exclusive reputation-based security technology. In contrast, the report noted that the average detection rate across all products tested was 78%. Our 2009 products won over 150 awards, and we believe our new products will match or exceed that achievement. We have many opportunities to grow our business through a variety of channels and around the world and are not dependant on any one partner or channel. During the quarter, we won consumer online backup deals with Toshiba and Acer. We now have backup relationships with four of the top five OEMs. We also extended our Norton Security Scan distribution agreement with Adobe Shockwave and added to our ISP partnerships with a win at EMOBILE, one of Japan’s largest mobile broadband service providers. We expanded our relationships with major French retailers and with Dixons, a major European-based retailer. We continue to focus on profitable partnerships across all channels and to enter into transactions that make economic sense for us given our leadership position. PC Tools allows us to broaden our access to new markets and strengthen our on-line capabilities. Our 2010 version of Spyware Doctor with Antivirus recently won PC Magazine’s Editors’ Choice Award in the anti-spyware category. We have been able to leverage our Norton relationships to win additional business for PC Tools in new channels. For example, PC Tools displaced a competitor at a leading Australian retailer which also carries Norton products. The combination of both brands enables Symantec to reach all consumer segments. Additionally, in the online channel, Spyware Doctor Starter Edition has been selected as the only security product for the Google Pack. This relationship enables us to gain access to Google’s 165 million unique visitors. Finally, we are beginning the migration of our Norton customers to our new, Symantec-developed and operated online store. We are carefully monitoring the transition and are pleased with the progress so far. Establishing ecommerce as a core competency for Symantec will give us better visibility to develop targeted programs and deliver more innovative products and services, as well as realize operational efficiencies and improve our cash flow and earnings per share. Now, I’ll turn to our Enterprise business. During the quarter we won a number of competitive enterprise deals where we were able to cross sell new products and services to our existing customers. We saw a continuation of last quarter’s behavior in our storage business. Instead of seeing customers make upfront purchases of licenses for future growth, a majority continued to buy for their current needs. In addition, server market deceleration continued to put pressure on this part of the business, particularly in new license sales on the Sun platform. Having said that, we have seen the decline in new license sales stabilize, and maintenance renewals on our large installed base remain strong. We continue to sell across all platforms due to our growing partnerships with IBM and HP, as well as our focus on long-term growth areas such as Windows and Linux. Our Stop Buying Storage campaign continues to resonate well with customers. They value our unique ability to reduce storage costs by better utilizing existing storage and by commoditizing hardware. As customers are challenged to keep costs down while managing increasing volumes of unstructured data, many are turning to scalable high-performance cloud storage solutions. Our FileStore solution, released this month, capitalizes on this trend. FileStore enables customers to scale their environments at a lower cost through operational efficiencies and the commoditization of hardware. The product integrates natively with our NetBackup and Endpoint Protection solutions, eliminating additional server requirements for backup and security – something no other competitor offers. Our product has the fastest performance benchmarks according to a third party test. Customers such as Taobao - China's largest online auction site, selling over 4.5 million items per day - are already using FileStore technology to support their businesses. Now moving on to our backup and recovery products, NetBackup, the number one information management solution for the enterprise, delivered steady performance as customers moved to next generation data protection. For example, we won a large multi-year contract with a global financial institution which included backup and archiving as well as storage, endpoint management and multiple service offerings. Earlier this month we began shipping NetBackup PureDisk 6.6, which includes several new features such as de-duplication for VMware and Oracle as well as granular restore functionality for Microsoft Exchange. This release allows us to further help customers reduce data volumes, complexity and infrastructure costs. In our Enterprise Security business, we are continuing to see traction in the large enterprise segment with several competitive displacements. For example, at a large U.S. telecommunications company we leveraged the full value of our product portfolio to deliver a consolidated solution of security, compliance, storage and backup products. In the mid-market, we continue to engage and educate our partners on the Small Business Edition of Symantec Endpoint Protection, which was launched in May. During the quarter, enrollment in our SMB Specialization program exceeded our expectations. We are pleased with our first full quarter of Small Business Edition bookings. As you know, this activity will benefit our revenue over the next twelve months. We expect this trend to continue as increasing numbers of our channel partners become trained on our products. We posted double-digit growth in our Federal business as the fiscal year for the U.S. federal government came to a close. For example, we won a multi-year contract with a government organization which includes DLP and mail security solutions. Internationally, in a partnership with Volvo IT, we won a competitive displacement at the City of Stockholm for approximately 145,000 seats. Another key initiative, Software-as-a-Service, posted sequential growth as we continue to leverage cross-selling opportunities for our online security solutions within the Symantec customer base. We saw increased sales of our hosted web security offering as web-based attacks remain a leading source of new infections. Now I’d like to take a few minutes to discuss the progress we've made over the past six months on improving sales force productivity and integrating technologies into core products. In a focused effort to increase overall sales productivity, we continue to improve account planning, deal review and resource utilization in order to drive higher close rates. These improvements, coupled with marketing campaign alignment, enable our sales force to focus on customer relationships and cross-sell the portfolio into the installed base. We continue to focus on producing high-quality integrated products and look forward to several upcoming offerings. We expect to launch our BackupExec System Recovery 2010 product with our new virtualization and Linux options for the SMB market by the end of the year. In addition, we expect to release Symantec Data Loss Prevention 10 in December with the industry’s first open DLP platform, integrating our hosted email services. We expect BackupExec 2010, scheduled to be available by the end of our fiscal year, to include integrated add-on options and de-duplication and archiving capabilities. Plans for NetBackup 7.0 include an integrated de-duplication add-on option which will allow de-duplication directly on the media server and is also expected to be released by fiscal year end. Both of these releases provide options that we will be able to sell to new and current customers and should benefit our cross-selling capabilities in fiscal 2011. We are focused on delivering industry leading products, integrating technology, cross-selling the portfolio and improving sales force productivity. I am confident that we have laid the foundation for solid execution during the second half of our fiscal year. Now, I’ll turn it over to James for a review of the our financial results. James?
James Beer: Thank you, Enrique, and good afternoon, everyone. I'm pleased to report that Symantec achieved solid second quarter results in each of our key financial metrics, both on an as-reported basis and after adjusting for foreign exchange. Despite a tight IT spending environment, our business continues to generate strong cash flow, while our focus on cost management resulted in better-than-expected earnings. Now, I'll review the financial details of the September quarter. Unless otherwise noted, all of the growth rates I will be discussing have been adjusted to take account of currency effects. Non-GAAP revenue was $1.48 billion and declined 2% versus the September 2008 period. We are encouraged by the improving trends in our maintenance revenues and by the sequential stabilization of our license revenue. The Consumer business continued to perform well, while our Enterprise Security business also improved sequentially. And we are encouraged by the initial signs of progress in the mid-market security segment. We saw better than expected results from our public sector vertical, especially in North America, and increased volumes from financial services and telecommunications companies. The U.S. dollar strengthened 3% against the euro as compared to the year ago period, reducing our international revenue as measured in U.S. dollars. As a result, foreign currency movements negatively impacted non-GAAP revenue by 1 percentage point year-over-year or by $14 million. However, currency effects positively impacted revenue as compared to the guidance we provided on July 29th. Had currency effects remained at our guided rate for the September quarter, non-GAAP revenue would have been $1.46 billion, still above our guided range. Looking at our geographic results, international non-GAAP revenue of $750 million represented 51% of the total and was equal to the year ago period. The Asia/Pacific/Japan region was up 3%, while the Europe/Middle East/Africa region declined 1% and the Americas declined 4%. Now I’d like to move on to our non-GAAP revenue by segment. The Consumer business generated revenue of $465 million, up 6% versus the September 2008 quarter. This is the second quarter in a row that the consumer business has generated 6% year-over-year growth and illustrates the positive impact our industry-leading products and dual-brand strategy are having on our results. Electronic distribution represented approximately 80% of Consumer revenue. Our premium priced Norton 360 suite now accounts for 35% of Consumer revenue, having grown 43% versus the reported results in the year ago period. Our action to bring our ecommerce store in-house will further bolster consumer revenue and cash flow growth in the future. Across our Enterprise business, we generated a total of 279 transactions valued at more than $300,000 each - up 7% sequentially - and 70 transactions worth more than $1 million each, up 32% sequentially. The Storage and Server Management Group generated revenue of $563 million, declining 8% as compared to the September 2008 quarter. This year-over-year change was in line with the June quarter results, driven by the continuation of the customer buying behavior that we discussed last quarter and by the decline in server sales. Our Security and Compliance Group generated revenue of $348 million, down 1% year-over-year. Endpoint security posted good sequential growth as more Enterprise customers purchased our protection suite and our new small business edition started to penetrate the SMB segment. We are pleased by the strong net promoter scores reported by customers and partners for our new SMB product. Our Services business unit generated revenue of $103 million, equal to the September 2008 quarter result. We saw growth in our Consulting and Managed Security Services segments. We continue to focus on improving the cost efficiency of our Services operations and we’re pleased with the contribution improvements that the group has made during the past few quarters. Turning now to margins, non-GAAP gross margin was 85.9% for the September 2009 quarter, up 20 basis points as compared to the year ago period. Our non-GAAP operating margin of 29.2% was equal to the result generated during the September 2008 quarter, driven by disciplined expense management. Non-GAAP net income was $294 million, resulting in fully diluted non-GAAP earnings per share of $0.36 for the September 2009 period. We exited the September quarter with a cash position of approximately $2.3 billion. Cash flow from operating activities generated $226 million in the September quarter, and we spent $120 million to repurchase 7.9 million shares at an average price of $15.22. We remain confident in the strength of our cash flow generation and committed to returning value to our shareholders. As a result, our Board of Directors has approved a new $1 billion share repurchase program. Our net accounts receivable balance at the end of the September quarter was $688 million. Days sales outstanding or DSO was 42 days. Non-GAAP deferred revenue at the end of the September 2009 quarter was $2.91 billion, up 4% year-over-year, driven by strong maintenance billings. Foreign currency movements positively impacted non-GAAP deferred revenue versus our guidance. Had foreign exchange remained at the guided rate for the quarter, deferred revenue would have been $2.86 billion, still above our guided range. Now I’d like to spend a few minutes discussing our guidance for the December 2009 quarter. We are assuming an exchange rate of $1.47 per euro versus the $1.32 per euro we experienced during the December 2008 quarter, equivalent to approximately an 11% currency tailwind. Also, note that the end-of-period rate for the December 2008 quarter was $1.39 per euro, equivalent to approximately a 6% currency tailwind versus our $1.47 per euro assumption. Our guidance also assumes a common stock equivalents total for the quarter of approximately 820 million shares and an effective tax rate of 29.5%. Recent movements in several key exchange rates have changed the rules of thumb we provide to assist analysts in estimating the impact of currency fluctuations on our financial metrics as follows - for each one cent strengthening of the euro versus the U.S. dollar we now estimate that we receive a revenue benefit of $4 million versus the previous $4.5 million benefit. Similarly, operating expenses rise by about $3 million rather than $2 million, and therefore it takes a $0.10 strengthening of the euro to generate an incremental $0.01 of earnings per share versus the previous rule of thumb, which only required a $0.05 strengthening of the euro. There is no change to the deferred revenue rule of thumb of $7 million for each $.01 movement of the euro. For the December 2009 quarter we expect non-GAAP revenue to be in the range of $1.485 to $1.515 billion as compared to revenue of $1.54 billion during the December 2008 quarter. At the midpoint of the guided range, we expect revenue to decline by approximately 2.5% year-over-year. Non-GAAP earnings per share are estimated to be between $0.36 and $0.37 as compared to $0.42 in the year ago period. Approximately $0.02 of dilution is related to our new ecommerce solution, while another $0.02 of dilution is related to a projected increase in OEM PC unit shipments, which in turn results in higher placement fees being incurred by Symantec during the December quarter. Clearly, higher-than-expected PC unit shipments bode well for our Consumer business over the long-run. We continue to expect that our operating margins for FY '10 will decline between 100 and 150 basis points as compared to FY '09, as we stated on our previous earnings call. We expect non-GAAP deferred revenue to be between $3 and $3.05 billion as compared to $2.96 billion at the end of December 2008. At the midpoint of the guided range, we expect deferred revenue to grow approximately 2% year-over-year. We expect 68% or $1.02 billion of our December quarter revenue to come from the balance sheet. In closing, I’d like to emphasize that, while we are pleased with our September quarter results, we are focused on executing effectively quarter after quarter. We will continue to drive our top line priorities while effectively managing our costs. And now I’ll turn it back to Helyn so that we can take some of your questions.
Helyn Corcos: Thank you, James. Gwen, will you please begin polling for questions?
Operator: Thank you. (Operator Instructions)
Helyn Corcos: While the operator is polling for questions, I'd like to update you on a few upcoming events. We will be presenting at the following conferences this quarter: Lazard, NASDAQ in London, Credit Suisse and Raymond James. We will be reporting our fiscal third quarter results on January 27th. And for a complete list of all of our investor-related events, please visit our Events Calendar on the Investor Relations website. Gwen, we are ready for our first question.
Operator: Your first question comes from John Difucci - J.P. Morgan.
John Difucci: Just a question here on the Consumer. It was up 6%. We also saw Microsoft's results, saw some consumer strength both in Windows and in Xbox. And I just want to just get a gauge, I mean, you're through the beginning of this quarter anyway and, if this really has legs coming forward, how much of an impact do you think the new OS coming out is really going to have here? Has it carried over? And it does sound like the - I just want to, I guess, verify - that it does sound like the Enterprise business, anyway, may have stabilized here and at the same time, just judging from the deferred revenue changes relative to other years, people still, though, are buying for what they need today.
Enrique Salem: So, John, when you look at the Consumer business, I think our products are, again, the best products on the market. We've won over 150 awards for the 2009 products, and the 2010 products we believe are even better given the technology I mentioned that we code named Quorum, which brings in our reputation-based security technology, which is a big differentiator for us. As you know, the new threats are really the zero day attacks, and we think we've got the best solution for that type of attack. That same technology will also become available in our Enterprise products. So the Consumer segment is doing well, I think, based on the strength of the products themselves, and I think the consumer buying behavior for us has continued to do well over the last several quarters, and I expect that to continue. I think on the Enterprise side you used the word that we've started to see stabilization. I think that's right. I also am pleased with the progress we're making with our new Endpoint security product in the SMB segment. So definitely some positive signs. But the environment still continues to have some folks who are concerned about their IT spending. But overall we're definitely seeing stabilization.
Operator: Your next question comes from Kash Rangan - Merrill Lynch.
Kash Rangan: Just two quick questions for you. One, Enrique, maybe if you can give us an update on the OEM deals that you might have secured during the quarter. I think you provided the last update at the analyst day back in June. I was wondering if you had an update now. And also second, with NetBackup 6.6 and BackupExec 2.0 either launched or to be launched, between the two, how much of the forecast for the December quarter hinges upon any pent-up demand for these products or are you actually being conservative with your projection for the December quarter, not really including any material amount of business from these two backup products?
Enrique Salem: When we think about the OEM business, we continue to make sure that we're going to do deals that we feel are profitable and make business sense for us. I think the OEM deals that we did were more focused on the online backup business. The deals with Toshiba and Acer now gives us relationships with four of the top five OEMs, and we're definitely making some very progress there. I think with regards to NetBackup 6.6 and BSR, the new BackupExec System Recovery, the BSR release is coming out now and so from an impact perspective on the quarter, it's minimal impact.
Kash Rangan: So I would be right in assuming that you've not assumed an [inaudible] amount of contribution from these two products in your forecast for the December quarter?
Enrique Salem: Yes, we have not.
Operator: Your next question comes from Sarah Friar - Goldman Sachs.
Sarah Friar: Enrique, on the storage side, I think you mentioned that the portion of the business that comes sold on the Sun platform is starting to show some signs of stabilization as well. If that's the case, what do you think is now kind of a normalized growth rate underpinning your storage business now that we're starting to get through that headwind of Sun?
Enrique Salem: I think that the Sun platform, especially on the RISC side, the Sun RISC processor side, has continued to flatten out is the way I would put it. It's stabilized. I don't know that it's going to turn. I don't expect it to. My expectation is more about what are all the things we can do with our storage business on some of the other platforms and some of our new solutions, like FileStore, and getting on to other platforms like Windows and Linux. So I'm less focused on what's happening with the Sun platform and really looking at how do we move customers and how do we support customers on some of the other platforms.
Sarah Friar: And maybe just a follow up because when I think of that business I think of it as kind of on one side the backup and recovery and the other side then the storage management, what we're kind of just talking about. How different is the growth rate between those two halves of the business? Because I feel like the storage foundation suite business has kind of in some ways depressed what may be fairly healthy on the other side.
Enrique Salem: Yes, I think when you look at the move that customers are making from tape-based backup to disc-based backup, there is a meaningful migration and that is absolutely helping the result in the NetBackup business. I think that you've got a modest to much flatter growth rate on the storage foundation side. Now some of the things that we are doing, Sarah, and you'll hear us talk more about this in the coming months is some of the capabilities that we're going to be delivering on the storage foundation Command Central Storage platform integrating some security capabilities. And I think the other thing that's important to note is that with the FileStore technology, I expect that will also help our results on the storage management side.
Operator: Your next question comes from Phil Winslow - Credit Suisse.
Phil Winslow: Just focusing back on the storage side, clearly you have several new products coming out over the next multiple quarters here. Is there any one in particular or a couple that stand out that you're sort of looking for to drive license growth? And then also just in terms of sales force productivity, Enrique, on the last call you mentioned some changes to the compensation structure. I'm wondering if you could comment on what results you're seeing from that and what future changes we might see.
Enrique Salem: Sure. I think when you look at what's going on in the storage area, our Stop Buying Storage campaign continues to resonate with customers as we help them get much better utilization of their existing storage. And so that bodes well for things like Command Central Storage and some of the other products that we have that help our customers understand storage utilization and how to make improvements. When you look at the other products in the overall Storage segment, the NetBackup product I think is one that we're continuing to see demand from customers based on the migration from tape to disc-based backup and some of the new capabilities that we are going to be delivering. Now NetBackup, we're expecting that to be shipped in the March quarter and the real impact of that will be in fiscal year '11. I think when you talk about the sales force and some of the changes we've made and we're continuing to look at, ultimately it really comes down to for me increasing what I would say specialization on areas where we see the biggest opportunities. And so we're continuing to do some of that work right now. We're seeing the first six months of results; we're analyzing it, and you should expect us to continue through this fiscal year to look at what are the benefits of specialization or further specialization on key product areas that we see good growth opportunities.
Operator: Your next question comes from Todd Raker - Deutsche Bank Securities.
Todd Raker: If we dig into the Consumer for a minute, you guys are starting to expand your dual-brand strategy. You highlighted the retailer in Australia. What is the risk that you start to cannibalize price points around the Norton brand? And then secondly, if we look at kind of the OEM relationships from a protection perspective - forget about backup - clearly you guys have a larger installed base, but why would the economics of an incremental OEM relationship be different for you versus your largest competitor?
Enrique Salem: Let me just take the first question and then we'll come back to the second one, Todd. If you look at the first question, we definitely have a couple of dynamics. The Norton brand has historically gone after a couple of segment in the market that is more the premium security buyer and PC Tools I think is going after a more price-sensitive buyer. The good news, though, in the Australian retailer that I mentioned is that we were able to push competitors off the shelves basically, and so now what you've got is you've got PC Tools and Norton side by side where before they may have considered alternative products from competitors. And so I see that as a real positive for the dual-brand strategy and what we're able to do by basically gaining shelf space in some key markets. The second part of your question, Todd, if you could repeat it for me?
Todd Raker: Yes. If I compare you guys to your largest competitor, I would think when you analyze an OEM transaction most of the revenue and cost associated with that is applied to new units going out the door. So I struggle with the fact that you guys, the sense I get is some of these OEM deals going on you guys just don't think are profitable, yet your largest competitor considers them very profitable. And I'm trying to understand what the different factors are that would influence that conclusion.
Enrique Salem: Well, I can speak to how we look at the deals. We look at the operating margin characteristics of our business, what the growth rate would be from any one transaction, and we also spend time thinking about the customer lifetime value. And what you can always do in a CLV calculation is you can extend the numbers of years that you expect a customer to stay with you. And so we are always looking at our assumptions, but a lot of the analysis we do is based on that customer lifetime value. I don't like to look at these and extend out the lifetime that we expect a consumer to stay on a particular platform given just some of the dynamics that we've understood in the years we've been in this business.
Operator: Your next question comes from Rob Owens - Pacific Crest Securities.
Rob Owens: You mentioned some competitive wins in the Enterprise segment. As you look at some of the more significant wins, what products are you selling? Who are you displacing?
Enrique Salem: If you look at some of the bigger wins - I highlighted a couple in my comments; one was a big U.S. telecommunications company - that was a combination of our products where it was the strength of the portfolio. It was products like Control Compliance Suite, Endpoint Security, Managed Security Services, I mean, this was a very large deal where it absolutely was about the strength and breadth of our portfolio, where the CIO, his team presented him with an alternative point security product and he said we're not going to keep doing this, guys; we have to standardize on fewer vendors, standardize on a security partner, and they selected Symantec and went across four or five of our security products in that deal. So it was actually the combination that really clinched that. I think I highlighted deals with the City of Stockholm and others where it's your usual suspects. It's the companies that are in second place and down that we are getting these displacements from right now, and that's really driven by the focus that we have put on the Security business since the beginning of this fiscal year and we're starting to get some traction with displacements, quite frankly, against all of our competitors.
James Beer: Just one thing to add to that to build on the cross-selling point that Enrique was making. Obviously, we track our big deals in great detail, and it was interesting to see in this past quarter that for our $1 million and above deals, which we noted were up very nice sequentially, we had 20% of those deals now involving three of our business units on the Enterprise side. So a nice illustration that we're really selling across the portfolio.
Rob Owens: And then focusing on the cost side of the equation, there's been a lot of focus around sales and marketing, especially for the last six months, but if I look at that as a function of revenue, it actually ticked up sequentially 60 basis points. Is this new initiatives around sales specialists or why was there inefficiency in the quarter, especially given some of the revenue strength and the flat license performance?
James Beer: On the cost side of the equation, quarter-over-quarter the two things that drove the numbers there were foreign exchange and then OEM fees. So those were the drivers. In terms of the Enterprise sales force, we continue to see improvements in efficiency there.
Operator: Your next question comes from Adam Holt - Morgan Stanley.
Adam Holt: My first question, I guess, is about the upcoming BackupExec release. In the prepared comments you talked about some of the incremental functions, in particular, de-duplication and archiving as being able to accelerate the cross-selling opportunity. Does that mean that you think you'll be able to charge for those separately so, if you are a customer on maintenance and you want those new features, you'll actually have to buy them separately? And how do you think about that cross-selling opportunity?
Enrique Salem: We definitely believe that there is an opportunity to charge for the new functionality separately. As you know, many of the things we do on the NetBackup platform are integrating new options and various agents, so we do think that there's an opportunity. And I think if you look at our message of commoditizing the hardware or the infrastructure, I think that NetBackup 7.0 is going to help us do that because what you're going to get is the ability for us to much more efficiently utilize the existing hardware that you have plus also give you a lot of choice on what storage devices you use in conjunction with NetBackup. So I think this is going to be a release that will not only add the new functionality but accelerate our ability to drive costs out for our customers.
Adam Holt: And if I could ask a follow up on the margin side, James, I believe you said that you're going to incur $0.02 of costs related to the move to your internal ecommerce platform and $0.02 from OEM shipments ramping up. Would you expect to see the same kind of dilution in the fourth quarter?
James Beer: Well, on the OEM shipments it's hard to say because very much we're driven by the production volume forecasts of our various OEM partners. So that's a tough one to predict. And then in terms of the ecommerce platform, I would expect there to be a couple of cents of dilution in the March quarter for that.
Adam Holt: So I guess as we think out a little bit more medium term, a lot of folks, including us at Morgan Stanley, are expecting to see a relatively significant ramp in the PC market next year. How shall we think about the impact of a material acceleration in the PC market with respect to you maybe bearing some upfront costs around those shipments before you actually get activations on the back end?
James Beer: Well, that's exactly right. We take the operating expenditure upfront when our OEM partners are shipping the units out of their factories. And, of course, the benefit to us on the top line comes ratably over time, and that's after the customer has physically received the unit and then had the 60 or 90-day trial period. So there is quite a difference between when we recognize the revenue and when we incur the cost upfront.
Operator: Your next question comes from Heather Bellini - ISI Group.
Heather Bellini: I was wondering, Enrique, if you could just share with us a little bit about if we've seen the anniversarying now of the pressure on contract durations in the Enterprise side that you referred to in your June quarter results?
Enrique Salem: I think we've got probably at least one more quarter. We've got to get through December, and it could be all the way through March to really anniversary it. So it could be as much as six months, Heather.
Heather Bellini: Going forward would you expect that behavior, then, of the shortened contract durations, do you think that's here for good, that that's what we should expect when we're modeling going forward or do you think there's a chance that you could start to see those lengthen again next year?
Enrique Salem: I think when you look at the balance of fiscal '10 and then looking at fiscal '11, I would expect it to be very, very similar to what we're seeing right now. You may towards the end of fiscal year '11 or beginning of fiscal year '12 start seeing an increase, but it's more dependent on the overall IT spending environment. So from a modeling perspective I'd say same for the balance of this year and fiscal year '11.
Heather Bellini: On the expense front, James, you mentioned about the uptick in OEM shipments and that you're going to have the upfront costs associated with that. How much of a benefit did you get from that when PC shipments were coming in, and does that mean that you might not have as much room on the efficiency side going forward from a cost perspective as we've just seen over the last three or four quarters?
James Beer: Well, I think that certainly if PC unit shipments continue to grow then it'll be quite a headwind for us in terms of our various other cost reduction activities. Now of course they will continue. We're very much focused on building efficiency. So as to have we seen some benefit from the slowing of PC shipments in the last year or so? Yes, there have been quarters where that has been the case. I wouldn't say, though, that that has been terribly dramatic in any one quarter. That's why we haven't been particularly calling it out.
Operator: Your next question comes from Brad Zelnick - Macquarie Research Equities.
Brad Zelnick: James, not to beat a dead horse here but just once again on the OEM placement fees and your expectation for Q3, just to clarify, what is the assumption for increased units versus any change to the placement fees themselves?
James Beer: No change to the placement fees themselves; it's just unit volumes.
Brad Zelnick: And reconciling the dilution with cash flow, what are the typical terms from the shipment to when the impact is actually paid to the OEM?
James Beer: Well, in terms of cash flow, you've got the period of time that it takes HP to get it out of the factory - that when we pay them and others - to the store itself, and so that could take a month, six weeks perhaps. And then there's a certain amount of time in the store. That's on the order maybe of a few weeks. And then there's the 60 or 90-day, depending upon the deal, trial period. And then it's at that point that the customer purchases the product and we receive the cash.
Brad Zelnick: Asia/Pac seemed to be a strong performance in the quarter. Can you comment on what drove that and any additional color?
Enrique Salem: If you think about our business, what we're definitely continuing to see is the growth in the Chinese market. I mean, I just remember a couple short years ago China was smaller than our business in Pacific - in Australia and New Zealand - and now China is rapidly approaching the size of Japan for us on the Enterprise side. So I think a lot of the health of the Asia/Pacific region has been China.
Operator: Your next question comes from Robert Breza - RBC Capital Markets.
Robert Breza: Enrique, I was wondering if you could just talk about what kind of growth you've seen in the pipeline. Obviously, large deals seem to be returning. As you're looking at those large deals and then taking into account the deal term, can you talk to us qualitatively or what you're seeing relative to your pipeline?
Enrique Salem: As we think about the business right now, the thing that I'm encouraged by is that we are continuing to have an opportunity to cross-sell our products into the customer base, and we are seeing more and more where customers are saying we're going to do business with less vendors. And I think that bodes well for Symantec because ultimately, with the richness of our product portfolio and the integration work that we're doing, I've got a sense right now that the DLP product is strengthening our security business because that's having the effect of opening the conversations around what are the risks, what are the threats, and how do we not only sell DLP but then Control Compliance Suite and some of the other products in the Security portfolio, and also pulling in potentially products from the Storage side like Enterprise Vault. So I think that's going to bode well for the numbers of deals and the size of the deals, and my expectation is, given that this is a fairly large renewal quarter, specifically on the traditional Storage side of the business, I think that'll be a positive for us as we go through the December quarter.
Robert Breza: You've been through the sales specialization for six months now. You've obviously seen some success with it. How long do you think it becomes meaningful where you see meaningful share gains or I should say maybe we on the outside start to see meaningful share gains with this sales strategy?
Enrique Salem: When you're working with a sales force of roughly 4,000 people you do look at how do you get the changes made, get everybody focused on the right product lines, and my sense is that you won't see the effect of the sales force change probably until fiscal year '11. I think it's something that right now we've been looking at districts in various parts of the U.S. and outside the U.S., and so it's going to be a bit more of we'll continue to analyze the benefits of it and the impact will probably be felt in fiscal year '11.
Operator: Your next question comes from Katherine Egbert - Jefferies & Company.
Katherine Egbert: Back to the large deals - what's your win rate on those large deals and do you feel like it's increasing or decreasing?
Enrique Salem: Sorry?
Katherine Egbert: On the large deals, the deals, say, over $1 million in particular, what do you think your win rate is and has that win rate improved or decreased, would you say?
Enrique Salem: It's absolutely improved. I think the notion here is that many of the deals when we get into the much larger deals that have many products, it really ends up being more we've been selected to be more of a strategic partner/vendor, and then it's a matter of what is the sum total of what the customer is going to be using in the one, two, three-year period. It's less about a point product competition. And that's what I think is the real strength of our portfolio at this point, that we are able to bring a range of products together in some of the larger deals.
Katherine Egbert: And then I think it was last quarter, Enrique, that you guided down the margin. You talked about doing more in house, and then we saw, you know, your relationship on the ecommerce side change. Are there any other opportunities you can share with us where you're making any sort of strategic changes like that?
Enrique Salem: Katherine, I'm thinking through. There are absolutely opportunities to continue to drive and manage our cost structure. I don't know of another item that we are currently contemplating of that scale. But on that particular item, that's obviously going well; our tests are going well, and we continue to see some improvements as we can now have direct control of the customer online experience and how we can test various options. But it's early. We've been doing this for less than a month - just a few weeks. But so far so good.
Katherine Egbert: How about the reverse side of that question, which is: Is there anything internally that you would consider selling off or outsourcing to improve the margins?
James Beer: Well, on the outsourcing side we actually have done quite a lot of work over the last year or two on both the IT side of the house and then the back office finance operation-type areas of the business. We're pleased with the financial returns that are coming out of that, but also in terms of the effectiveness of our ability to do our jobs. So that's really been the primary development going in the other direction.
Operator: Your next question comes from Aaron Schwartz - Ladenburg, Thalmann & Co.
Aaron Schwartz: I had a follow up question on the Consumer business. Understanding that PC Tools maybe expands your addressable market, can you talk at all about the consumer margin as that gains a larger mix shift? Is that going to put pressure on the Consumer margin or would you expect 360 and some other higher ASP products to continue to rise to offset that?
Enrique Salem: I think it is a relatively smaller part of the overall business, but it does have a lower margin than the premium-priced Norton products. Now one of the benefits - and I just touched on it, Aaron - was the ecommerce side, where we will get some margin improvement in everything that we do online. And then the other opportunity is clearly to move folks from PC Tools through the range of the Norton products and try to get them up to Norton 360, and that's where we really would get the big payoff - if we can create a great experience for the customer and then upsell them all the way through the product line to 360.
Aaron Schwartz: Looking at the revenue guidance into the December quarter, what are your assumptions for year end spending on the Enterprise side? And given the deferred revenue outperformance, is there any reason that the sequential revenue shouldn't be greater? Is there something that pulled off here a little bit that you didn't expect?
James Beer: Well, we're expecting to see some level of budget flush at the end of December. But we are cognizant, of course, that IT budgets are down this year at our customers versus last year, so we wouldn't expect it to be as great a budget flush as we saw last December.
Aaron Schwartz: And on the deferred revenue?
James Beer: Sorry, what was the question around that?
Aaron Schwartz: Just given the deferred revenue outperformance, is there any reason a sequential move in revenue shouldn't be a little greater in the December quarter? Did something not stabilize further than what you'd expected maybe 90 days ago?
James Beer: No, we were pleased by how the deferred revenue came through - very much relative of the strength of the maintenance revenues that we were recording. And the December quarter is obviously a big maintenance renewals quarter, so I would expect to see continued strength on the deferred side of it. As our Security business continues to develop and we believe take share over time, then of course that tends to be more ratable in its nature than does the Storage side of our business. So I think you can expect to see some sort of a shift in the mix, if you will, as a result.
Operator: Your next question comes from Brian Freed - Morgan, Keegan & Company, Inc.
Brian Freed: Real quick, as we look at the Server and Storage Management segment, over the last couple of years there's been some shifts in your pricing methodology. So as we try and correlate the growth in that to various trends such as storage capacity, the number of virtual machines, the number of physical servers, the number of processor cores, where do you see the highest correlation in terms of what drives positive or negative trends in that business?
Enrique Salem: I think when you look at the model, right now what we're trying to do is look at capacity-based pricing for some of our products given the rapid increase in storage and the rapid growth in storage. And so what you're seeing is us absolutely being able to move some customers there. We had a couple of very large deals we did this quarter that moved backup customers to a capacity-based model. Ultimately, though, you definitely are seeing customers look for cost savings and how they drive more efficiency and basically reduce their cost of infrastructure. I think anything that allows us to help them do that, that is absolutely a positive from a quick benefit or ROI for the customer.
Brian Freed: So as you look at your deals, how far along do you think you are in terms of moving to more of a capacity-based pricing model?
Enrique Salem: It's early. I think it's very early. I think that we've introduced it. We're definitely seeing big deals happen on a capacity model. But we're just at the beginning of that.
Helyn Corcos: Gwen, we have time for one more question.
Operator: Your last question comes from Daniel Ives - Friedman, Billings, Ramsey & Co.
Daniel Ives: Can you just talk about the Federal business? There's a lot of talk about cybersecurity spending. It's a big initiative with the government. It obviously came in strong. Just talk about that in the quarter but, more importantly, just going forward how you guys are viewing that and just are you able to get that opportunity?
Enrique Salem: I think this quarter we saw double-digit growth in the Federal business as it's their fiscal year end. We definitely see opportunity with some of the new initiatives. We've had a number of discussions with the leadership teams across the various agencies, both civilian and non-civilian, and there's a range of things that they're trying to do specifically in the security category where we see a lot of opportunity. I expect that to be something that will develop over the balance of this fiscal year and into fiscal year '11.
Operator: And that concludes our question-and-answer session. I'd like to turn the conference back to Enrique Salem for any closing remarks.
Enrique Salem: Well, in conclusion, we're pleased with our execution during the September quarter. In particular, we're pleased with the strength in the Consumer segment and with the initial progress we're seeing in the SMB Security market. That concludes today's call, and I'd like to say thank you to everybody for joining us. I look forward to speaking with all of you again soon. Thank you.
Operator: Thank you, everyone. That does conclude today's conference. We thank you for your participation.